Operator: Good afternoon. My name is Sylvia and I will be your conference operator today. At this time I would like to welcome everyone to the Las Vegas Sands 2015 Third Quarter Earnings Call. [Operator Instructions]. Thank you. Dan Briggs, you may begin your conference.
Daniel Briggs: Thank you, operator. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we're making under the Safe Harbor federal security laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. Please see today's press release under the caption forward-looking statements for a discussion of risks that may affect our results. A definition and reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded. We also want to inform you that we have posted supplementary earnings slides on our investor relations website for your use. We may refer to those slides during Q&A portion of the call. Finally, for those who would like to participate in the Q&A session we ask that you please limit yourself to one question and one follow-up question so we might allow everyone with interest to participate. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon Adelson: Thank you, Dan. Good afternoon, everyone and thank you for joining us today. I'm pleased we continued to execute our strategic objectives during the quarter. And despite the continuing challenges in the Macau market, we delivered a strong set of financial results with company-wide hold-normalized adjusted property EBITDA, reaching $1.09 billion, an increase of 7% over the prior quarter. At the same time we continued to return excess capital to shareholders. It has always been clear to me that our unique MICE-based integrated resort business model positively differentiates us from our competitors, in terms of both financial performance and economic contribution to all those jurisdictions. In Macau, our hold-normalized EBITDA was up quarter-on-quarter with continued sequential improvement in our operating margin. In Singapore, Marina Bay Sands delivered yet another record quarter in mass gaming win-per-day, when measured in Singapore dollars, as well as a 20% sequential increase in rolling volumes. On a constant currency basis, Marina Bay Sands hold-normalized EBITDA was up 22.4%. At the heart of our company's success is having the right strategy at the outset. We had the courage of our convictions to build early and aggressively. We develop critical mass to scale and diversification. And we offer product and amenities that are best positioned to capture long-term tourism and consumption growth in Asia. We're unique in the scale and diversity of our portfolio. We have focused on the most stable and profitable segment, the mass market. We're clearly differentiated by the strength of our cash flow and balance sheet and we're the further distinguished versus the competition by our track record as well as the pioneer of the MICE-based integrated resort business model. That balance sheet strength at only 1.6 times net-debt-to-EBITDA allows us to stay fully committed to it development plans as well as our commitments to returning capital to shareholders. Again this is unique in our industry. Our retail mall portfolio which features the industry's broadest and deepest set of retail offerings in both Macau and Singapore, is also unique. I'm pleased to highlight that our retail mall revenues have held up well in today's retail market which is softer, in particular, at the higher end. Also we have the ability to monetize our retail mall portfolio in the future. In Macau, our share of EBITDA in the Singapore market has continued to increase to around 36% in the first six months of 2015, up from 34% in 2014. In fact, in quarter two, our EBITDA share climbed to 39%. In Singapore, our share of EBITDA of the duopoly market has increased to 65% in the first six months of 2015, up from 59% in 2014. That's notwithstanding the fact that projections of the Singapore market have been premature and exaggerated. Our operations represent a substantial portion of the EBITDA generated in all of Asia for the industry. This is truly a precedent. Now let me take you through some of the operating highlights of our results in Macau for the quarter. For quarter three on a hold-normalized basis, Sands China EBITDA was $537 million, up 1% over the prior quarter. While we consider EBITDA shared the most important metric reflecting market performance, we also held the number one spot in revenue share in the quarter, with 23.6% of the Macau markets gaming revenue. In the mass segment we do see signs of stabilization, the continued benefit from the scale of our hotel room inventory, the diversity of our product offering and the attraction of the Venetian as Macau's must-see destination. I want to remind you because we haven't talked about this before, that the casino at Venetian Macau is less than 4% of the total amount of space in the Venetian Macau. We sometimes get asked whether our capacity advantage is diminished given the recent market revenue decline. I believe the opposite is the case. In a market with peak periods, the weekends and holidays matter more than ever before and where mass-market customers will generate the lion's share of the revenue of future profit growth, our capacity advantage low, in fact, we further amplified. I believe the Venetian Macau which a must-see attraction and everybody coming to Macau will be matched by the Parisian, because it's got a geographical theme that people really want to see. Look at our market share revenue in the peak revenue periods. 26.5% in May, with the Labor Day holidays, 25.3% in August, the peak summer month and then October around 25% again for National Day Golden Week. Our hotel occupancy in the July and August summer months was 89%, 5 percentage points higher than that of the whole Macau market. In VIP gaming, despite the continued weakening of the junket segment during the quarter, our premium direct business yet again delivered a solid quarter. Our premium direct growing volumes were up 1% quarter-over-quarter versus the 17% decline in the overall market junket set. With respect to cost efficiencies, we're well on track to achieving more than $200 million of savings in 2015. Hold-normalized EBITDA margin in Macau improved sequentially to over 33%, primarily reflecting cost efficiencies. I am pleased that since quarter one, we have been able to sustain higher levels of market share while controlling costs and increasing labor productivity. Rob can elaborate further in the discussion later. With the completion of St. Regis and [indiscernible] we will have almost 13,000 hotel rooms in four interconnected resorts, over 840 retail stores across four shopping malls, with the potential to add several hundred more stores in future development phases, subject to government approval, 2 million square feet of meeting and observation space and four performance and event venues, including our Venetian CotaiArena which can be utilized either for our MICE business or major entertainment events. We remain fully committed to playing the pioneering role in Macau's transformation into Asia's leading business convention and lead gestures of destination. We have steadfast confidence in our future success, a track record in being transformative pioneers in MICE, retail and entertainment speak for itself. Now moving on to Marina Bay Sands in Singapore. We delivered another strong quarter at Marina Bay Sands which despite the impact of the stronger U.S. dollar, generated hold-normalized EBITDA of $411 million, up 12% from the year-ago quarter. As I mentioned earlier, on a constant currency basis, our hold-normalized EBITDA increased over 22%, while rolling and non-rolling segments performed well. Mass win-per-day was $4.8 million, when adjusted for the currency effect, our mass win-per-day was up by 8%. That strong performance was principally driven by the successful execution of our strategy to bring premium mass customers from throughout Asia to Singapore. As a result, we delivered another all-time quarterly record in mass win-per-day in Singapore dollars. In the rolling segment, we enjoyed the best rolling volumes in any quarter since quarter one 2014. On a constant currency basis, rolling volumes were up 36% year-on-year and up 20% quarter-on-quarter. In addition, we have maintained a proven accounts receivable reserve ratio during the quarter. Our company remains committed to leading the industry compliance. Now on to my favorite subject, the return of capital to shareholders. I'm extremely pleased to announce that the Las Vegas Sands Board of Directors has approved an increase in our recurring dividend program for 2016 calendar year. The 2016 calendar Las Vegas Sands dividend will be $2.88 for the year or $0.72 per quarter. This represents a 10.8% increase over the $2.60 dividend we're paying in 2015. We remain committed to the maintenance of our recurring dividend programs at both Las Vegas Sands and Sands China and we remain committed to increasing those recurring dividends in the future as our cash flows grow. Our industry-leading cash flows, geographic diversity and balance sheet strength enable us to continue these recurring dividend programs, while retaining financial resources to invest for future growth and pursue new development opportunities. Yay dividends and yay buybacks. We bought back 80 million of stock in the most recent quarter. We have approximately $1.6 billion remaining under our current stock buyback authorization. And we look forward to continuing to utilize this stock buyback program to return excess capital to shareholders and to enhance long-term shareholder returns. I would also like to take the opportunity to welcome Mr. Wilfred Wong will join us on November 1 as President and Chief Operating Officer Sands China Limited. Wilfred brings the distinguished track record in both the public and private sectors to Sands China. We're pleased to be able to continuing to contribute to Macau's success in realizing its objectives at diversifying its economy, supporting the growth of local businesses, providing meaningful career development opportunities for citizens and reaching its full potential as Asia's leading business and leisure tours of destination. Finally, let me share that I'm extremely pleased about the depth and strength of our management team, not only at Sands China, but in Singapore, Las Vegas and in Bethlehem, Pennsylvania. The strength of our team is clearly reflected in our ability to stay disciplined and continue executing our strategy in challenging brackets. I want to thank you again for joining us on the call today, now let's engage in Q&A.
Operator: [Operator Instructions]. Your first question comes from the line of Joe Greff. Your line is open.
Joe Greff: I will start with the question on Singapore I thought Macau was kind of down in the middle of the fairway. Singapore I thought that's where the biggest positive area was relative to our expectations and forecast. I suppose on the mass side and also on the VIP site. Can you talk about it a little bit Sheldon but Rob maybe go down a little bit what factors are driving relative to our expectations to better performance there, what you’re doing differently or better in the past? Different sourcing geographically, that would be helpful to understand, thank you.
Rob Goldstein: The NBS remains outstanding I think the quarter reflects our dedication to all our business statements, the lodging please, held up, very, very well both in our occupancy, the retail piece actually grew year-on-year which is exciting in these difficult times in China. Our gaming business remains exemplary. I would caution you again the VIP get a lot of attention but against highly concentrated we did every quarter relative to last six quarters. But the real start is showing I think Singapore remains our non-rolling table slot [indiscernible] performance 63% margins, $4.8 million a day. To your point of regionalization I think we benefit by being in a place that has Malaysia, Indonesia, Korea, Japan as neighborhoods. And we're very pleased with the team over there, couldn’t be more pleased in fact I see our growth getting better and better, our magic number is still $5 million a day, haven't hit yet, currency adjusted were there actually. So despite the foreign exchange headwinds, despite the problems in China, we have an annualized run-rate of about 1.150 billion coming out of stocks ETGs, it's a great business it's not credit dependent, it's not [indiscernible] dependent, as Sheldon reference we dominate the market in terms of EBITDA split. We’re just very encouraged by the business, we see the trends getting more solid for us. A lot of skepticism around Singapore but it's not China dependent. It's not high order dependent, it's very sustainable and we’re very proud that results in and the team over there has really executed where we want to be. So very, very pleased with it and hope we can keep that momentum going in the fourth quarter.
Sheldon Adelson: I think the discouragement or the pessimism about Singapore is based upon how our competitor in Singapore is doing. Can you imagine we're doing double the total amount of business? It's two to one that they are doing. We own 65% of the market. I attribute that to not only a location, quality of the product and the most important thing is that [indiscernible] has never operated in a competitive market. We have never operated in anything, but a competitive market so we understand how to compete a lot stronger than our competitor knows how to compete. So I think the fact that they are not doing as good as we're, we're doing twice as good as they are, sort of you want to hold us in tandem with what they are doing and I think that’s why I wanted to emphasize the word differentiated from the rest of the market in Asia.
Rob Goldstein: I do think Joe, that building is exemplary where it's at physically, how it looks architecturally, the food and beverage, the retail is pretty iconic. We’re just very proud of it and I think it's going to continue to do very well in the future, so all good signs coming out of Singapore.
Joe Greff: For my follow-up question, again not Macau related but looking over the Las Vegas trip, did RevPar growth performance in the Q3, what drove that and how sustainable are mid to high single digits RevPar gains going forward and that's really it for me. Thank you.
Rob Goldstein: We will probably say it's our best quarter in Las Vegas since the difficulty of 2007-2008, it is a real strong quarter from many perspective but the start here is the lodging piece and we did [indiscernible] and ADR of 96%, it's a record quarter for us on a normalized basis plus $100 million in EBITDA. The gain piece held up pretty well but again the start here is going to be the lodging segment which is getting stronger. We see support from all the group segment FIG, very encouraged by Las Vegas right now because our lodging business, gaming needs to be very competitive, lasted [ph] okay nothing spectacular. Our table adjustment affected somewhat by the downturn in national play but over all our drop is 600 plus million strong third quarter, just very encouraged by what we’re seeing in Las Vegas from our perspective. It is not been the last couple of years a strong for us. We're seeing return to better time and I think the group has been exemplary in helping drive some of that compression of REIT, so very excited of RevPar and over lodging trends for our property share in Las Vegas.
Operator: Your next question comes from the line of Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix: Rob in the prepared remarks, Sheldon put you on the spot and said that you might talk about your continued ability to cut costs. So I was wondering if you could do that and just how we should think about the ability for you guys to continue offsetting the negative operating leverage as the operating environment continues to stay challenging.
Rob Goldstein: Well obviously we can operate in what is a very difficult environment in Macau right now, the VIP erosion and the continuing softness in the mass. We're down here today about 170 million year-on-year, our goal is to get to 230, 240 annualized. The cuts come from everywhere, it comes from about 30% drives the payroll, about 25% from gaming OpEx, about 25% from non-gaming OpEx, about 20% from all entertainment. I think we can operate Felicia in this environment we have proven we can do it, now this year has been difficult as you all know and if it continues to be harsh in Macau but we can operate and keep doing this and we're confident there is more to be done there. But as you know at some point you cut into muscle and not just fat and that’s my concern is how much further we can go, the 900 pound gorilla in the room is to return to growth in the mass market. Our buildings are built for mass-market, they are large room capacity, large gaming capacity, large retail capacity, they are built for mass markets, we’re built for today's Macau market, frankly we’re not as strong higher end, never been as strong, what Sheldon always prophesied unfortunately came true, there will be a downturn at some point in every market. So we built better rooms, better retail diversified product. I'm hoping as the mass-market gets stronger, the cost cutting will be minimized but if '16 continues like it appears to be going we're there to play in that arena. We're cost-cutting across the board, is not always easy to team there, with a very good job of doing it but it can continue and we can go deeper and harder and again it's derived from all parts of our business and doesn’t rely in anyone segment. So unfortunately that’s where we're at, we still think we make a lot of money in Macau. It will be a lot more fun and exciting if we can see return to growth in the mass segments. So that's our Macau situation for today.
Felicia Hendrix: That's good. And also a good segue to my next question my follow-up question which is on the mass customer. Just looking at the statistics obviously the base mass win per table continues to decline is that a slower rate Sheldon mentioned that it's stabilizing. But Rob as we think about the competition that’s coming online and the continuous pressures that the customer is seeing from the market from the government, where do you see the base mass statistics settling out and can you describe the type of base mass customer that you’re seeing today versus a year ago? Obviously their spent per visit to the casino continues to decline but is it their entire budget down or they just spending less in the casino but increasing their spent on non-gaming activities. So again like where do you see the base mass statistics settling out and how is the customer, what is the customer's budget look like?
Rob Goldstein: I think you have to be careful when you say base mass, it's very confusing but we all know that junk of these without [indiscernible] that's pretty simplistic. We can see that very black and white. Mass is more confusing because I believe the base mass business hasn’t really changed that much, what has changed is the premium mass when you put that together and that equation becomes base pretty mixed together. There is a fall-off and that the customer, Felicia, has been in the premium mass my opinion is the base mass customer is holding up pretty well. I think you're seeing stabilization there. Well you’re not seeing growth, you’re not seeing return is more premium mass mix in there. Think of it this way, you walk into a high-end store in New York City or Las Vegas, walk into a high-end retailer and you will see a lot of customers, but you see three or four a day they might make a huge purchase, that's what happened in Macau. We have lost a lot of these premium mass customers that were quasi-direct play and that customer base has eroded and until that customer is back I think you will see very slow lower return to a year ago. And I think the pure base mass customer loses $1000 or $500 a day, if you go to Macau, it looks very busy over there, they are alive and well especially weekends and holidays. So I think the real softness here is a derivative of junket place somewhat. It's that same person affected by economy, anti-corruption, liquidity, union pay, smoking I think it's the same story to the extent. Again we need to see that segment return from Macau crew and get brighter and happier, we need to see a return to more premium mass customers. I believe are base business is actually pretty good. The rooms are pretty good. Our gaming business is holding up okay. But we're not getting that 5% or 10% of the population that drove extraordinary amounts of gaming win and that GGR took us back I think Macau will continue to be difficult. And I don't think it's base mass I think it's premium mass when you mix them together.
Felicia Hendrix: Maybe we can talk about this offline because I know my time is done here but in your chart you showed base mass since the second quarter of '14 is down 18% continued to decline sequentially so I was kind of referring to that market, really specifically.
Rob Goldstein: Again I think it's hard to be real honest I think for any of us, it's difficult to identify not to disregarded [ph] our charge because it must be perfect but the truth is hard, it's difficult to differentiate at times and at any operator in Macau can tell you this. It's very difficult to differentiate base mass, premium mass, what table, I'm not convinced that those charge don’t reflect still, a heavy smattering of premium mass mixed with base. I think from experience, maybe [indiscernible] will tell you that it's almost misleading because it's hard to exactly what is, they are holding up signs on premium mass, on base mass. You're doing it based on our sample, our indications, I'm not convinced that our base mass business is down 18%. I think our premium mass business they are down more, that’s where the softness is and continues to be. I'm happy to take you offline and talk about it but it's my firm conviction that you can't get every number right and market that in terms of, when you segment these markets, it's difficult. Junket's are easy, they're all in the same room, they're all playing the same place. Mass is much more difficult to really understand the segmentation.
Sheldon Adelson: And we do know for a fact that there are premium mass players in play in the geographic area that we’re identifying here as they are absolutely are in there and they contribute piece of this [indiscernible].
Rob Goldstein: Our mass drop actually grew. What I like more sequentially not year-on-year but sequentially, I also rely on the people -- work force to talk every morning, if you listen to the dialogue and it's getting more and more, we have seen a lot of bodies, a lot of business in those buildings. We’re not seeing the better quality customers. That's what drive table win per unit, it drives higher minimum bets, it drives the entire GGR and that's what I think the weakness really is. Our drop is I think it was on the base mass but we're suffering on the premium mass side.
Operator: Your next question comes from the line of Jon Oh from CLSA. Your line is open.
Jon Oh: Well done on raising the dividend to 288. My question is I'm just trying to understand the kind of the implicit assumptions within what you guys are thinking as to what you need to actually make maybe next year and in 2017 or what are the hurdle rates of EBITDA that you think are crucial for you to generate in Macau and also in Singapore for you to be able to sustain a dividend and also the kind of thought process behind how do you think or what your expectations are for the Parisian in order for us to kind of understand what kind of free cash flow could come out of this auto of Macau and also for Singapore offering to sustain a 288 dividend ?
Sheldon Adelson: So Jon let me start off and then turn it over to some of the other guys. But big picture we don't give guidance for guidance, but our perspective and the confidence that we have in our cash flow and our ability to continue to grow cash flow in Singapore, Las Vegas, Bethlehem and over time in Macau is strong, but we wouldn’t raise the dividend. And if you look at '16 next year, we're expecting that it could potentially be a tough year. I think you've got three new properties opening but we're confident that when you go out two, three, four years Macau will be at growth market again, there is a big underpenetrated market in Mainland China that the Parisian is designed to appeal to and together with the Parisian you're going to have a very, very strong capability to generate increased amounts of cash over time and the increase in the dividend is reflective of that confidence that we have in the future.
Rob Goldstein: I think we have a lot of confidence in the Parisian being a product that will speak well for mass business in Macau market. We have a lot of confidence in Singapore and Las Vegas and Bethlehem perform next year to levels that hopefully exceeding to this year's levels, the big question mark obviously remains Macau, no one is confused about that and it's virtually impossible for us to tell you what -- how to think about Macau, it's so unknown to any of us. It is a big question mark for any operator today. We don't want to forecast, we think what we’re going to do, we feel very confident about that Parisian performance but it won't be open until best case end-of-the-year in Q4, so it won't be a huge contributor.
Sheldon Adelson: Not necessarily.
Rob Goldstein: Well, Q4.
Sheldon Adelson: And in Q3 and in Q4.
Rob Goldstein: It's hard for us to sit here and think that number will be, we feel great about three of our places, Macau remains the question mark and obviously for us to take that guess today would be a mistake.
Jon Oh: And if I could follow-up on a remark that you guys made signs of stabilization in mass. And I think the kind of following you said earlier Rob about the base mass which is something that you think is quite flattering, I think the impact has been largely on premium. What your thoughts about the VIP market as it stands? Have we seen some signs of bottoming or do you think that this is still the market that has very little visibility as it stands? Thank you.
Rob Goldstein: I think the numbers speak for themselves, the VIP market has gotten, it is where it is, a pleasant place. I don't know what the catalyst will be as these VIP return. I do think there is hope for the premium mass to get better, and that’s where my hope resides. I think VIP junket model has such turbulence both yesterday and tomorrow that it's hard to see how they can better. But I do think that premium mass customer can resurrect and we believe the base mass is stabilizing, I still think the weakness is in the premium mass.
Sheldon Adelson: We think that the junket market is the one that's getting hit the most. Premium direct business is improving and we’re getting some of those people that are not going through the junket, they may have been going through the junkets before. And we’ve built relationship with them and we think the credit is good. We're very strict on issuing credit, so from our standpoint we never went into the junket market as big as some of the other guys did, because it wasn't our fundamental business model. Our fundamental business model is MICE based and that didn’t rely upon the VIP market. When we first opened Venetian in Las Vegas, we only had took us a couple of years to start increasing the amount of the maximum bet that we would take. We started off with $30,000 with maximum bet and when we opened the Sands in Macau we started off with about the same thing. We didn't go after the junket market. It happened to our growth and in Singapore we're not allowed to deal with Macau styled junket reps with third-party and everything we do there is premium direct. So it's still going on. We’re still having VIP players coming in and look at the results, 2/3rds of the market belongs to us and 1/3rd belongs to our single competitor there. The mass market is what we were built for even though today in Singapore will take as much as $1 million a bet, $1 million a hand and we’re the only casino in the world that will take that. So I don't know, we’re setting the pace for other people perhaps to do the same thing. So we're basically built for the mass market and that's why we have so many hotel rooms, so many so much gaming capacity, we’ve built it for that market and now we're achieving the results and the mass market is now the low hanging fruit for us.
Operator: Your next question comes from the line of Shaun Kelley of Bank of America. Your line is open.
Shaun Kelley: I just wanted to maybe speak about Macau on a higher level, we have seen a lot of policy announcements in the market over the course of September in particular and I was just sort of curious to get your thoughts sort of the latest views as it relates to some of those whether be kind of a mix lead of junket regulation and union pay withdrawal limits versus the announcement from the liaisons office about potentially doing something to help out the gaming industry, sort of how are you guys appealing about the policy environment in Macau right now and how incrementally supportive you think the government is likely to get from here?
Rob Goldstein: Well we have always been respectful of the Macau government's desire. When we first got in we said we were going to bring in as part of our presentation to them, we said we were going to bring in national and international brands which we have done. We brought in Intercontinental Corporation, we’ve brought in Holiday Inn. We brought in the Hilton Conrad we brought in Sheraton, we brought in Four Seasons. We keep our commitment. If you talk to anybody in Macau, the current government, the former government and you ask which company which of the concessionaires or sub-concessionaires is out there has followed the direction that the government has outlined, the answer is going to come up either LVS and then we change our name to Sands China in Macau. We have a belief that our gaming license in Macau is a privilege and not a right. So we do everything we can to develop and direct our properties toward the goal that the government wants and diversification of tourism. Look, we've got 10.6 million square feet in one property one 3000 room property, The Venetian in Macau and we've got 13.5 million to 14 million square feet of Sands Cotai Central. You don't need that for a casino, the idea is to put it in, we're the pioneers of integrated resort business model, that's what the Macau government wants, that's what we offered to the government and we will continue to do that. Obviously we can always hope for things to be better but we don't have control over that and we've got to respect we're in China, let the Chinese decide what they want to do with the concessionaires. Again it's our privilege, it's not our right. So do everything we can to justify getting the blessings from the Macau government. It's their government. It's their right and we will do whatever they asked us to do.
Sheldon Adelson: Shaun, we really affirm the government's want to see Macau prosper and succeed. We're very fortunate to be there I think Sheldon's history in Macau speaks for itself, 11 years ago he opened the first a modern-era casino in the Peninsula, the Sands, it has made a lot of money for his company, it has open doors open for all kinds of people make lots of money in Peninsula and he then three years later spent at that time a record-breaking $2.4 billion at the Venetian and opened up the doors to Cotai, at a time no one believe Cotai was viable today. The first time he looked at numbers Cotai exceeds Peninsula in GGR. Point we’re making is we’re u lucky to be there, we have done very well there, we have been good partners with the government and we believe strongly in the future of Macau and we’re fortunate. We opened a new building up next year, and we hope lots of success but I think your look to the action of the company, the success of the company and the properties of Sheldon, there will be a $13 billion capital spend that tells you how we feel about Macau .
Shaun Kelley: I guess a follow up same theme would be, we’re starting to get sort of more questions from investors about the concession renewal process. As we move into late '15 from I think what we last heard from the government they were going to be in sort of evaluation phase, I was just curious, do you know if that dialogue is ongoing and/or where things sit today as it relates to that? Any update or thoughts on when we might hear something more on that?
Rob Goldstein: To the best of my knowledge, I read the clippings from both here and our [indiscernible] PR and government relations department. I haven't heard a word, haven't written word, haven't heard a word about the midterm evaluations in Macau. So as far as we know, if it's happening, they're not publicizing it and if it's not yet happening, they will be getting to it. It will happen when it happens. Our worrying about it doesn't advance it any further. They will do what they want to do when they want to do it. Our concession expires in '22, that’s still seven years away.
Operator: Your next question comes from the line of Thomas Allen from Morgan Stanley. Your line is open.
Thomas Allen: So Studio City is opening in Macau in five days, just want to hear your latest thoughts on how you expect the property to impact the market overall and are either you doing anything differently to benefit from the new opening or you’re seeing others doing I think surprising? Thank you.
Rob Goldstein: No we’re not seeing, we’re not different at all, we’re in a business as you’ve in the past Thomas, but we’re hoping that Melco and Galaxy bring business to Macau are hoping for the success obviously, we’re all in this together. We need to see Melco do well, we’re routing for them. We’re big fans of what they have done in the past, we are big fans of Galaxy's new building, it is excellent. So we’re cheerleaders, we’re rooting for these guys to make lots of money and bring business to Cotai. We’re happy to see Cotai continue to evolve and have a have footprint in Macau. We’re happy to see this crossover and now the Cotai exceeds the Peninsula, and we’re just looking for more and more success for all of us because let's face it this is a rising tide we will carry overboard so, for a great opening a great looking building.
Sheldon Adelson: Competitively I think that our Parisian theme building -- we just topped off the Eiffel Tower, it's going to be a fantastic construction [ph], fantastic and I think this is what the market wants. But why is the Venetian a must-see property because it's something they can't see anywhere else. I saw a design yesterday of the Studio City and they have an eight shaped Ferris wheel, couldn't figure out and neither could our development department figure out if the top half of the circle connects to the bottom half, I don't know.
Rob Goldstein: He's looking for free ticket
Sheldon Adelson: I would be happy to pay for it but they didn't have a change.
Thomas Allen: And then just as a follow-up, just for clarification around Singapore. Rob, I have heard you say a few times now that you think people think that they misunderstand that the property is not Chinese customer dependent and you really draw a lot of your customers from across Asia, should we take that imply that you’re seeing declines in Chinese plate or is it and then strength other regions and maybe local business or?
Rob Goldstein: Well let's begin with our plus segment because it's a complicated question beginning in the high-end we're seeing declined visitation on the very high-end customer for gaming segment, the rolling customer out of China has diminished -- lack of demand also we’re watching our credit issuance there. So just like Las Vegas has been impacted by the issues in China, we're often in the very high-end. However, what we have seen in Singapore is the regionalization and on the rolling business again I always caution you as you know it's concentrated, it's not 2 million customers there. So it's heavily concentrated, but we've seen great success out of the region and that being Indonesia Malaysia, some Chinese, some TRs [ph], some people live in Singapore that are internationals and have a proper residency. So yes, we have not been -- is not growing in Singapore, it's probably in decline in the high-end. But the more important part of our business there is not Chinese dependent, that is the ongoing slot ETG segment which has never been Chinese dependent. It's mostly people in the region again, Indonesia, Malaysian, Korean, Japanese and that’s been the pleasant surprise, we have maintained and grown that segment and it's never been dependent on Chinese visitation. I'm also pleased with our retail sales in the luxury segment, in Singapore actually up year-on-year again despite a downturn in Macau's retail environment. So clearly we’re in different place in Singapore. The region at this point has not been impacted by China as it has been in Macau. So depending on where you look our retail business is improving even the luxury, even very high-end high street stores are doing better. Single digit year-on-year increases -- our rolling business is okay, it's acceptable, but again the real strength of that building was people just can't seem to accept is we're not dependent on the slot ETG non-rolling, that is the power house, that’s the 1 billion, 2 billion that drives that building to these kind of numbers. And I don't think that's China dependent at all. We do get some Chinese play, but again the regional aspect of the customer segment is very strong and growing. Exciting part for our team over there is we're finding more $20,000, $30,000, $40,000 gaming customers out of those neighboring countries. So I guess you can say we're not China dependent, we like Chinese business, it's been good to us in the past but right now it's not the driver of Singapore.
Operator: Your next question comes from the line of Carlo Santarelli of Deutsche Bank. Your line is open.
Carlo Santarelli: Sheldon, as you think about your Macau collection of assets today, and obviously Parisian coming on, in a year or so, when you think about the new supply that is coming to the market and having a lot of experience dealing with supply and way competitive dynamics change, do you guys feel some of the work you're doing today on the cost side will mitigate some of that and furthermore are you seeing any evidence or getting the sense that the folks will have to be more promotional as some of the new capacity comes online?
Sheldon Adelson: Well, we're always going to have to be competitive, very sensitive to whatever new capacity. I believe that the new competition will have to be in order for us to be cannibalized. It would have to be a better thematic posture than what we have. We still believe first of all we’re putting up pedestrian bridges that will collect all our properties. We will truly be the Cotai strip where we will be able to get 13,000 hotel rooms without walking outside. So we will hit five or six casinos depends on how you connect the casinos in Sands Cotai Central without leaving the building. There are and there will be pedestrian bilges going across the strip moving sidewalks. We have like 30,000 people a day crossing in both directions and that's quite a traffic breeder. I think that the Parisian with it's unique theme will be highly competitive and I think we will have the third must see property in Macau, the Venetian, the Sands Cotai Central and the Parisian which will be major attractions. And I think from a competitive standpoint, I don't think the other properties, although as Rob said we're rooting for them for all of them to be successful. I think that the Studio City will be a little more competitive because it's a different look, people want to experience a different look. We happen to think that the geographic positioning combined with our fundamental basic MySpace [ph] business model will be very successful. We’re looking at over 3000 units and there isn't not one of the other five properties that are building as many as 2000 keys, somewhere building approximately 2 keys for every key a competitor is building and we think that the uniqueness of our geographic theme, particularly I will tell you we just topped off the Eiffel Tower and I got to tell you look at that and you will see a very, very attractive theme. So people when we first opened in Singapore and the Sky Park was built, the ambience was built adjacent to the Singapore Ferris Wheel, the Singapore Flyer. As soon as we opened, we had a separate set of elevators and we charged SGD20 for people to go up there, it killed the Singapore clients. They went into bankruptcy because people would rather do more than just take a Ferris wheel right. They want to have an experience at the top and I think the Eiffel Tower is going to give that to them. So it isn't just there is a competition out there. It is the quality of the competition. How competitive is it? And how does it meet the needs and the aspirations of the mass market? I think that, look, forget about the issue of market share although we’re happy to be at the top end of the market share, I can't deposit market share in the bank. I can only deposit EBITDA and nobody is even approached us in the last 11 years since we open in terms of EBITDA so that's what really counts. You can put EBITDA on the bank and we could be highly competitive regardless of how many properties they open. If you don’t ever open a property that is sensitive to the needs and to the aspirations of the customer, you can build ten competitive places and we’re still going to do well.
Operator: We have time for one more question. Your last question comes from the line of Robin Farley of UBS. Your line is open.
Robin Farley: I wonder if you could give a little bit of color around maybe there is a big occupancy decline of Venetian Macau and I don't know if that was intentional to lower occupancy to eliminate some cost, I'm thinking it was not, how should we think of the decline in RevPAR and rate in occupancy both given the hotel supply coming into the market over the next few months.
Rob Goldstein: Unfortunately it wasn’t planned that way, there was no grand schemes to knock off the rate down. It just now fell. As you well know that market is adding rooms quickly both from actual bricks and '16 build as well as the junket transition as people stop giving away with the junkets. There is more and more rooms in the market, mid-80s is acceptable but we’re working in the Venetian and we also have some CapEx plans for some of the room product? But it was not planned, it wasn’t to save cost, it's simply we didn’t have the demand we want to have and plan to fix the future. Venetian is still the only billion-dollar property left I think in Macau from what I can tell based on the run rate in this quarter. I hope that change in the future with more people getting billion dollar run rates for those properties but Venetian had a week quarter in terms of occupancy rate, had a good gaming quarter, was low 80s in Macau.
Robin Farley: Okay.
Rob Goldstein: The point is Rob, it wasn’t planned, that’s not how we want to do -- we want that rate to go back up when an occupancy backup, we're trying to keep our rate higher than other people in town. There is a lot of slip through rate capacity and I think the junket, the transition from giveaway rooms, comp rooms to junket is down to cash rooms is an issue for tomorrow. I do think -- Cotai will get stronger, we’re excited to see, we’re going to over and see the new Melco product next week or two, we’re excited to see what [indiscernible] does in the spring and I do think that demand for Cotai is going to continue to grow and grow. We’re still the biggest footprint in Cotai and so I think it's going to be a very competitive, very positive impact on the Cotai area. I know that wasn’t planned, we need to improve our numbers both in the rate and from in occupancy perspective.
Robin Farley: Maybe just as a follow-up to that, I know that the market -- there is not a lot of forward visibility in terms of room bookings, but just from what you do see, past October 27 next week. Is your early read on sort of those first two weeks after that that it's helping occupancy with your property or not necessarily yet?
Rob Goldstein: I don't see, I don't have insight at this point is too early to tell, but I think again I'm a big believer that this Cotai area when you get Mr. Win there and you get [indiscernible] these guys are building these multi-billion dollar properties you’re going to see a list for all of this. I really believe that. I believe it may come at the expense of the Peninsula. I think the must see products will reside on Cotai. I think it's part of Sheldon's comments about Parisian, I couldn’t be more Parisian, it will be a must see iconic and theme building which I think Macau responds well to. So we're very pleased to be in Cotai with great building. There is no [indiscernible] short-term I don’t know, does it help us long term? I believe it does, I believe it does, we have to win this thing together. We need to exceed GGRs growth, we need to see visitation grow, we need to see premium mass grow. Our company is different than others in a lot of ways but the one thing we do have differential and continues the scalability. We have lot more rooms, lot more retail, more gaming opportunities, so we need more visitation, we need more better customers and I think the more that Cotai area grows, the more benefits this company. So again we are believers in Macau long-term. The visitation, the penetration in mainland to Macau remains sub-2%, the instructional improvements keep coming. We believe the government can see and they believe to see Macau succeed. So whether it's this week or next week we’re thinking long-term big picture that Cotai does very well and again the biggest player in Cotai by many rooms and many gaming opportunities, we're going to be the biggest beneficiaries.
Operator: This concludes today's conference call. You may now disconnect.